Operator: Good morning, everyone. Thank you for standing by. Welcome to Pet Valu's Third Quarter 2025 Earnings Conference Call. My name is Harry, and I'll be coordinating today's call. [Operator Instructions] I would now like to turn the call over to James Allison, Investor Relations at Pet Valu. Please go ahead, Mr. Allison.
James Allison: Good morning, and thank you for joining Pet Valu's call to discuss our third quarter 2025 results, which were released earlier this morning and can be found on our website at investors.petvalu.com. With me on the call is Greg Ramier, Chief Executive Officer; and Linda Drysdale, Chief Financial Officer. Before we begin, I would like to remind you that management may make forward-looking statements, which include guidance and underlying assumptions. Forward-looking statements are based on expectations that involve risks and uncertainties, which could cause actual results to differ materially from those expressed today. For a broader description of risks related to our business, please see our Q3 2025 MD&A, 2024 annual information form and other filings available on SEDAR+. Today's remarks will also be accompanied by an earnings presentation, which can be viewed through our live webcast and is also available on our website. Now, I'd like to turn the call over to Greg.
Greg Ramier: Thank you, James, and good morning, everyone. I'll start by reviewing some of our key highlights from the quarter before handing it over to Linda to discuss our financials and the update to our outlook for 2025. Before I begin, I'd like to express how excited I am to step into the role of CEO. Hard to believe it's been a year since I joined Pet Valu, but in that time, I've seen countless examples firsthand of why millions of devoted pet lovers turn to us for their pets' needs. From how deeply our ACEs and franchisees care about providing the best in-aisle expertise to the scale and quality of our store network, digital channel and supply chain, to the breadth and innovation of our proprietary brand assortment, we truly are unmatched in the Canadian pet. I'm thrilled to have the opportunity to help lead Pet Valu through this next chapter of growth and to add to our legacy of serving Canadians' devoted pet lovers. Now moving to the results. Our business delivered another quarter of growth and healthy margins in Q3 as we continue to navigate an uneven discretionary demand environment. With our growth once again outpacing the market, it's clear devoted pet lovers are increasingly drawn to our unique combination of strength in convenience, value, quality and expertise, which together creates our compelling retail experience unmatched in Canadian pet. System-wide sales increased 4%, supported by continued momentum on a same-store basis as well as our strategic expansion in our industry-leading store network. This translated into 5% revenue growth, including contribution from higher wholesale penetration. We achieved these outcomes through responsible and balanced investments in everyday value across our assortment and new product introductions. And we supplemented these investments with events to drive excitement to invigorate discretionary demand. At the same time, our teams continue to find opportunities to realize operating expense savings to offset inflation. As a result, adjusted EBITDA margins improved sequentially to 22%. The resilience and consistency of our performance speaks to the success of our commercial playbook and long-term strategies working in tandem. Let me unpack a few of the highlights from the quarter. We took several actions in Q3 to help solidify our position as Canada's local and everywhere pet specialty retailer. We and our franchisees opened 16 new stores in the quarter, bringing us to 849 locations coast-to-coast. With 26 stores opened year-to-date, we are well along our way of reaching 40 new stores by year-end. At the same time, we and our franchisees renovated, expanded or relocated another 72 locations, almost all of which related to our enhanced culinary experience, which I'll touch on shortly. Our digital channel continues to scale with all elements, our transactional website, AutoShip and marketplace contributing to its success. In the quarter, we featured a limited time AutoShip offer, providing 20% off first orders of key Made in Canada brands, including our Performatrin family of products; generating strong uptake and helping drive our continued growth in active subscriptions with devoted pet lovers. We are also seeing great ramp-up in our marketplace offering, which complements our other channels. Following a successful first year with Instacart, we plan to add more options for devoted pet lovers in Q4 to further elevate our industry-leading omnichannel offering and convenience. At the same time, we continue to leverage our strengths to deliver the best pet customer experience. Devoted pet lovers are taking note of the everyday value we deliver with strong response to the investments we made in our Fresh 4 Life litter last fall and in particular, to our Performatrin Prime investment this spring, with both programs exceeding expectations in volumes and sales. On the back of this success, we bolstered our everyday value proposition across hundreds of additional items in the latter part of Q3 and early Q4 with our Lower to Lock program, including investments at both retail as well as wholesale, so our franchisees can participate alongside us. While it's still early, these actions strengthen our position to continue to win the monthly shop. We complemented our everyday value with a smart and exciting promotional program, powered by our new pricing and promotions tool, celebrating events like our anniversary sale and the limited time 20% off AutoShip discount. We also broadened the portfolio of brands eligible under our frequent buyer loyalty program, including the exciting addition of Purina Pro Plan in early Q4. Equally important are our investments in innovation and quality. In the quarter, we introduced approximately 150 SKUs of national branded toys, collars and leashes, better aligning our hardlines offering with what devoted pet lovers are looking for. We also continue to innovate with our proprietary brands. This included new product introductions such as plant-based dog kibble and freeze-dried cat treats under our Performatrin Ultra brand. Fresh 4 Life corn litter and opening price point travel carriers and accessories under our Essentials brand. And finally, our enhanced culinary experience. With 70 stores completed in the quarter, including a handful of initial franchise locations, we're pleased with the pace of implementation. While still very early in its deployment, initial data reaffirms the strong lifetime value of culinary customers who visit and spend more than twice that of a traditional customer. We remain on pace to bring this enhanced experience to roughly 120 corporate stores by the end of the year. Now moving to our third focus, to fortify strong retail and wholesale fundamentals. As previously shared, we concluded our supply chain transformation in Q3 with the commissioning of our new Calgary DC in July and the exit of our legacy facility and third-party storage space in that market by the end of September. With over 1.3 million square feet of modern, partially automated distribution capacity in Canada, we have successfully built Canada's strongest supply chain, supporting the pet specialty industry and one that will support our growth over the next decade plus. For those of you who've been with us on this journey over the last several years, you know we haven't had to wait for this moment to realize the compelling benefits this transformation brings. For the past 2 years, these new facilities have enabled efficient new store growth, unlocked our ability to capture higher wholesale penetration with our franchisees and supported inventory leverage. In the third quarter, we reached another important inflection point, delivering year-over-year leverage in our consolidated distribution costs as we began to lap the step-up in fixed costs associated with these new DCs. We believe this is a strong signal for the opportunities ahead to drive profitability and reinvestment as we grow into our upsized capacity. All of these achievements, network expansion, merchandising excellence, transformation of our supply chain would not have been possible without the talent and commitment of our ACEs, our franchisees and leaders across the organization. We are a business built around nurturing the love pet parents share with their pets, and this is only made possible by nurturing and supporting our people and franchisees. We are humbled to have recently been recognized for our efforts, including receiving the 2025 Hall of Fame Award from the Canadian Franchise Association for our leadership and contributions to the Canadian franchising industry, and being named a 2025 Employer of Choice by Canadian HR Reporter. By forming strong relationships and providing safe and rewarding working environments, we help drive stability and tenure with our franchisees and ACEs, which benefits everyone, including our devoted pet lovers. To learn more about how we accomplish this, please see our 2024 ESG report, which was released this morning alongside our Q3 results. With that, I'll pass it over to Linda to review our financials and 2025 outlook. Linda?
Linda Drysdale: Thank you, Greg. Overall, our business delivered another quarter of responsible growth and healthy margins in Q3 as devoted pet lovers alongside all Canadians continue to navigate today's uncertain environment. This financial resilience is a direct result of both the right strategies and our strong culture built around providing the best for our customers and relentless pursuit of efficiencies and savings. Let me review some key financial highlights before turning to our refined outlook for the full year. System-wide sales grew 4% in Q3 to $374 million. On a same-store basis, sales increased 2.3%, similar to the pace seen in Q2 and supported by growth in both basket and transactions. Comp trends across categories were relatively consistent to those seen in Q2. From a non-comp basis, we opened 16 stores in the quarter and 45 over the last 12 months, bringing us to 849 sites coast-to-coast at the end of Q3. Q3 revenue was $289 million, representing an increase of 5%, slightly ahead of system-wide sales as we continue to increase wholesale penetration with our franchisees. As expected, the gap between revenue growth and system-wide sales growth eased as we began to lap our wholesale catalog expansion in Q3 last year. Gross profit was $96 million, up 7% from last year. Excluding nonrecurring costs related to the supply chain transformation, gross margin was 33.5%, similar to last year. While we continue to see impacts from higher occupancy costs and to a lesser extent, higher wholesale merchandise sales, these factors were offset by leverage in our distribution costs, allowing the margin stability of our commercial plan to shine through. Echoing Greg's earlier comments, achieving leverage in our distribution costs has been a long promised benefit of our supply chain transformation, and I want to pause to celebrate this moment and to congratulate our teams for their perseverance and dedication to getting us here. Q3 marks the start of what we expect to be many years of distribution cost leverage from our recent supply chain investments, which will provide opportunities for greater profitability and flexibility for reinvestment to fuel our growth and support financial resilience. Moving to operating expenses. SG&A in the third quarter was $54 million. Excluding share-based compensation and costs not indicative of business performance, our SG&A expenses were $51.5 million, similar to Q2 as our team did a fantastic job in diligently managing our expenses and finding efficiencies to offset expected inflation. Adjusted EBITDA was $64 million, representing 22% of revenue, an improvement from our margin in the first half of the year. Net income was $25 million compared to $23 million last year. Excluding share-based compensation and items not indicative of business performance, adjusted net income was $28 million or $0.40 per diluted share compared to $30 million or $0.41 per diluted share last year. Now turning to our balance sheet and cash flow. We ended the third quarter with ample liquidity, consisting of $15 million in cash and $140 million in unused borrowing capacity. Total debt net of deferred financing costs was $294 million, a decrease of $17 million from Q2 as we directed free cash flow towards repayments on our revolver. Factoring in net lease obligations, our leverage remains at 2.4x, consistent with last quarter and just slightly above our recent run rate over the last several years. Q3 inventories were $141 million, up 5% from Q3 last year, in line with revenue growth. Our supply chain and replenishment teams continue to do an excellent job managing turns across our DCs and delivering industry-leading store service rates, all while completing the final DC transition into our new facility in Calgary, Alberta. As we enter the busiest season of the year, we believe our DCs and stores are stocked with the right quality and quantity of product to meet the everyday and holiday needs of Canada's devoted pet lovers. Net capital expenditures were $8 million in the quarter, bringing us to $30 million year-to-date. With key investments into our supply chain transformation now behind us, our capital investments are now being directed towards the continued rollout of our enhanced culinary experience across our corporate stores, new store builds and ongoing store refreshes and other maintenance projects. And finally, we generated $25 million in free cash flow in Q3. Year-to-date, this brings us to $67 million, up 9% from last year, driven by improved earnings and lower CapEx. Importantly, free cash flow conversion on a trailing 4-quarter basis was 43%, consistent with our framework of roughly 40% or greater. While we continue to return a portion of our free cash flow to shareholders in the quarter through dividends, we directed the majority of it towards repayments on our revolver. We expect to complete these repayments by the end of the year, after which we will once again look to share repurchases on an opportunistic basis. Now to our outlook for 2025. As Greg indicated, the Canadian pet industry has displayed resilient yet tepid growth this year as pet parents seek out the best opportunities for quality and value to care for their pets. Devoted pet lovers are increasingly turning to pet value to fulfill this need, driven by our industry-leading omnichannel convenience, curated offerings of specialty pet products, in-isle expertise and recent investments in everyday value. Our strong financial performance and market share gains underscore the success of these strategies. At the same time, macro uncertainty continues to weigh on consumer spending, creating uneven discretionary demand, which has continued into Q4. Based on this, we have narrowed our full year outlook to reflect year-to-date performance and current market conditions. As a reminder, our 2025 outlook incorporates an extra week given the 53-week calendar this year. We now expect 2025 revenues between $1.175 billion and $1.185 billion, supported by approximately 40 new store openings, same-store sales growth of approximately 2% and increased wholesale penetration. Adjusted EBITDA is expected to land between $257 million and $260 million, representing growth between 4% and 5%. This continues to incorporate normalization of operating expenses and planned investments. Factoring in our narrowed revenue and adjusted EBITDA ranges, we now expect adjusted net income per diluted share between $1.63 and $1.66, representing growth between 4% and 6%. As a reminder, this includes absorption of approximately $0.12 of incremental depreciation and lease liability expense associated with our new distribution centers. And finally, capital allocation. We continue to expect approximately $45 million in net capital expenditures. We also continue to expect to convert roughly 40% of adjusted EBITDA into free cash flow this year, the vast majority of which is being returned to our shareholders. Before turning it back to Greg, I'd like to share our initial view on 2026 as we near year-end. With no real certainty on when today's macroeconomic conditions will improve, there is a strong likelihood that uneven discretionary demand we've seen through much of 2025 could extend into 2026, which may keep growth in the Canadian pet industry below its long-term average. As we say consistently each year, our aim is to grow alongside the industry and lean into initiatives to expand market share like continuing new store openings in 2026 at a pace similar to 2025 and further investing in our culinary renovations. With the completion of our supply chain transformation, we expect earnings growth to improve starting in Q4 and continuing into 2026 as we lap the major step-ups in fixed DC costs. And most importantly, we plan to grow our free cash flow, which we plan to deploy in accretive ways, including opportunistic share repurchases. We look forward to sharing more details around our financial and operational outlook for 2026 when we report our Q4 results in March. With that, I'll turn it back to Greg for some closing remarks.
Greg Ramier: Thanks, Linda. As we complete our supply chain transformation and commence the next leg of our growth within the Canadian pet landscape, I'm excited about the opportunities ahead of us. With a great team, great assets and a clear strategy, we are well positioned to deliver on our mission to be Canada's preferred pet retailer, delivering the products, care, expertise and memorable moments that devoted pet lovers want. With that, we'll now be happy to take your questions.
Operator: [Operator Instructions] Our first question will be from the line of Mark Petrie with CIBC.
Mark Petrie: Just on same-store sales, traffic maintained positive, but you were lapping a pretty weak period last year. There was some modest deceleration sequentially. So could you just talk about sort of consumer behavior and specifically the traffic figure?
Greg Ramier: Absolutely. Mark, maybe I'll talk about same-store sales first. We were very pleased with the pace in Q2, it was similar -- or in Q3, it was similar to Q2. Growth did come in a bit lighter than we initially expected in the quarter. And I'd say the main reason for that is tied to the shape of demand. If you recall in Q2, we've seen some early signs of stability in hardlines with trends improving sequentially from the beginning of the year. This progress paused in the third quarter, suggesting customers are more closely monitoring their spending given all the uncertainty around trade and other macro factors. I think the key takeaway for us, though, is that even in this constrained environment, we're winning share. This is a result of the actions that we've taken so far this year, including Q3, both the long-term actions around network expansion and digital investments, but more recently, the investments we made in everyday value and having a sharpened promotional program. I think specifically on a 2-year basis, we don't think that the 2-year stack is a particularly helpful way to look at our performance given that 2024 was a fairly stable year in how our weekly sales progressed, which is something we're also seeing this year. And our comments all year have been around this -- our original 1% to 4% guidance range, which we continue to deliver within, and we now expect to reach roughly 2% for the full year.
Mark Petrie: Okay. And if I could just follow up on culinary. Obviously, it's still relatively early days, but just wondering how that's performing. And curious if that category has more variation in its performance by sort of local demographics and neighborhoods than other parts of the assortment.
Greg Ramier: As I shared in my prepared remarks, Mark, I'm very happy with the pace of the rollout. We've already completed almost 80 stores so far this year, including 70 in the quarter. Still very early in the deployment, but I can share the data that we're seeing, the first few weeks reaffirms how much the culinary customer spends in their pets. We've begun to expand the experience into a handful of franchise stores. So we're looking forward to what it's going to do in 2026. This category continues to be at the high end of growth for us in double digits. And we don't see a lot of variance to your question regionally or within different stores.
Linda Drysdale: The one thing I'd add, Mark, is that we have rightsized the level of investment by store to best complement the existing layout in culinary presentation. So as a result, we expect the returns on these to be above our internal hurdle rates.
Operator: The next question is from the line of Irene Nattel with RBC.
Irene Nattel: Just continuing the discussion around same-store sales. Could you walk us through, please, sort of where you're seeing the highest level of unevenness? That's the first part of the question. And then the second part of the question is I'm wondering about sort of the degree to which the investments and the introduction of private label products at lower prices is kind of -- be acting in a deflationary way from a basket perspective.
Greg Ramier: Thanks, Irene. I'll start on the consumers. So we continue to see devoted pet lovers seek out quality products, looking for better nutrition and better ways to feed and care for their pets. And we do see our highest growth still in premium kibble and in our culinary products as a result of that. At the same time, devoted pet lovers are looking for value. And this is where our proprietary brands really shine. And we've been very pleased with the progress on that front, both in volume and in sales. And really, the way that those themes have -- are manifested from a category perspective is we've seen and continue to see resilient growth in needs-based consumables and more uneven or opportunistic spending within discretionary hardlines. And as I noted, we saw early signs of stability on that discretionary demand in Q2. It held. We didn't see any further improvement in Q3, which I think really ties back to the macro environment. I do think that in this environment, what's really important is the things that we've done over the last several quarters to lean into our strengths, our points of difference to show how Pet Valu can deliver on both quality and value. Three things that I'd point out within this that we're doing to be successful in this environment. First is our focus on high-growth quality categories like culinary that we just talked about. The second is leaning into the role that our proprietary brands can play and -- both in innovation and in value, and they performed well. Third is the investment we've made to provide everyday better value, and you would have seen the -- us talking about our new Lower to Lock program across hundreds of key items that we launched at the end of Q3. These strategies in total are working. We're winning the monthly shop. We did that in Q3, and we're gaining share, growing same-store transactions.
Irene Nattel: That's really helpful. And then just thinking ahead to 2026, what I heard you say is if we have all been thinking about, let's call it, mid-ish single-digit same-store sales growth in 2026, unless we see something change in the environment, which doesn't seem likely at this point, that will be difficult to achieve. So I guess, is that, in fact, what you wanted us to hear?
Greg Ramier: Yes. With the macro environment playing such a critical role in how devoted pet lovers and frankly, all consumers are spending and given how fluid the trade environment remains, I think it's a bit premature to make a firm call. But our view and as per Linda's remarks, is we think industry growth will remain below its long-term mid-single-digit run rate through next year. I do think there's going to be a couple of big themes that are going to remain consistent, though, within that. First is the stability of demand for needs-based consumables, which account for about 80% of our sales. And this is the -- this has been a consistent growth driver for us through 2025, and I don't expect that to change next year. And second is the humanization trend and seeing that continue. So culinary products, as we talked about, continuing to gain traffic. And we're leaning into that category to make sure that we continue the growth curve that we've seen on it. Those are both big themes within what we view will be a fairly similar industry backdrop.
Operator: The next question today is from the line of Martin Landry with Stifel.
Martin Landry: I would like to just go again looking at the long-term outlook of the industry. I think the industry has been growing slower than its historical pace in '24 and '25, and you're calling for maybe a cautious outlook for '26. When do you expect the industry to get back to its historical growth rates? I think you quoted historically 4% to 6%, and it's even been higher than that over the last 20 years. At what point could we see the industry return to more healthier growth rates?
Greg Ramier: Thanks, Martin. The -- as we pointed out in the past, the Canadian pet industry has an impressive track record of resilient growth over 30-plus years. When you take a look at what's driving that is really the humanization and premiumization of pet care that we've talked about. That tailwind hasn't stopped even in today's environment. We continue to see it every day in the conversations that we have with devoted pet lovers in store and the questions they're asking, and especially in the products they're buying. The best example of this continues to be the strong sales growth in our most premium peers of kibble and culinary. The slower pace of the industry growth that we've seen over the last few years has really been isolated to the more discretionary pockets of our industry, as we've said, particularly in hardlines like toys, apparel, collars, beds. These are categories where pet parents exhibit more compromise through either deferral or substitution when the environment is uncertain like it is today. But as history has shown time and time again, we believe this softness to be transitory. We expect it to stabilize as the macro environment stabilizes. In the meantime, what you've seen is we're leaning into our strengths of convenience, quality, value and expertise to win in today's environment, which has been driving our market share gains.
Martin Landry: Okay. And how much of the industry you think is switching online? It feels like the online channel is growing maybe a little faster than the brick-and-mortar channel. And how are you positioned to capture that switch?
Greg Ramier: Very well positioned. We've been very pleased with what we're seeing in our digital channel. Our online sales continue to outpace our company average. But what's even more important is the role this channel plays in our omnichannel offering. As we've shared in the past, our omnichannel customer visits the store and site 5x more than a non-omni customer and spends 4x more. They're not -- not only are they more engaged, but they're the most valuable, least price-sensitive customer segment that we have. We've seen -- so we've seen good growth in our omnichannel. It's outpaced our total business.
Operator: The next question is from the line of Michael Van Aelst with TD Cowen.
Michael Van Aelst: I wanted to talk to you more about the franchise and corporate mix that you've got this year. In the past, you've said you've reiterated the view that there's strong demand for franchises. But this year, you've opened 25 new stores and 21 of the net new stores are corporate versus 4 franchise. So can you talk about the health of the franchisee, that four-wall per EBITDA? And why specifically are you not seeing more franchisees stepping up this year?
Greg Ramier: Mike, thanks. For most of our history, we've operated both franchise and corporate networks at scale. And they're both strategically important for us with unique benefits that complement each other. One of the strategic benefits of this dual structure is operating at a best site first strategy with the flexibility to lean into either a bit more corporate or a bit more franchise, depending on where we find the sites and where our franchisees -- our franchisee pipeline where they physically are. Right now, we've opened a bunch of really great locations, most of which we haven't identified the right franchisee yet. So we're opening them as corporate stores, which I'll remind you still provide fantastic returns for us. We may choose to resell some of those to existing or new franchisees, but we'll make that determination on what's in the best interest of both the community, the store and the franchisee given that they're making a 10-year commitment. Our health and pipeline of franchisee -- franchise inquiries is still strong. So that has remained consistent through this environment. And I think, Linda, from a four-wall EBITDA?
Linda Drysdale: Yes. So I mean, we update that annually in the AIF. As we stated from last year, it was $230,000, and we'll update it again in the next year.
Michael Van Aelst: Linda, are you willing to at least give us an indication of direction whether that -- whether it's higher or lower than what it was last year?
Linda Drysdale: I can't at this time, Michael. Yes, I think there's compelling returns to the franchisee, and that's as far as I'll go on that.
Greg Ramier: And Michael, we continue to see strong interest.
Michael Van Aelst: Okay. So Greg, just to follow up on that, though. Historically, I think Richard had said, given the indication that you wanted at least 200 corporate stores and probably would be happy something. It sounded like it was something in the 200 to 230 level in that ballpark, let's call it. So with the corporate store count rising now up to 241, I think that's the highest level you've ever been at. Do you see that number coming down over time still? Or do you expect to start growing more? Is it changing a little bit where it's not as much of an asset-light growth strategy going forward?
Greg Ramier: No, you shouldn't anticipate a change in that strategy. The strategy for real estate is best site first. And we will continue to be around that rate of franchise stores as a percentage. It will depend on where we find the best sites and how our franchise pipeline is looking for those trade areas. So you shouldn't expect a material change there.
Operator: The next question will be from the line of Chris Li with Desjardins.
Christopher Li: First question is -- first, thanks for all the discussions on the consumer so far. But Greg, I was wondering if you can talk a little bit more about the competitive environment as well. Have you seen an uptick in promotional intensity during the quarter? And how is it looking so far in Q4?
Greg Ramier: Thanks, Chris. I'll start off by saying, generally speaking, and as a reminder, we operate in the least competitively intense end of the pet industry where devoted pet lovers -- with devoted pet lovers who value more than just price when shopping for pets. So as a result, we tend to have a very rational trading environment. In September, we did see promotional intensity increase from select specialty peers. That's perhaps in response to recent market share trends. But with that said, we continue to stick with our strategy of providing devoted pet lovers with quality and value that they can count on every day. It's a strategy that's anchored in what our customers appreciate. It's a strategy that works in driving the -- and winning the monthly shop. And we've got not only that, but a full agenda planned in Q4 from a commercial plan with some of our biggest weeks left to come in the quarter.
Christopher Li: Okay. And I think just a follow-up maybe for Linda. If we take around just the midpoint of your full year guidance, I think the implied Q4 SSSG is going to be around 2% and EPS growth maybe around 9% if you exclude the extra week impact. If my math is right, I guess my question is looking out to next year, if let's say, same-store sales will remain a bit tepid like more in the low single-digit as opposed to mid-single-digit growth, is there still enough operating leverage within your business model to achieve at least that high single-digit EPS growth for next year?
Linda Drysdale: Yes. Thanks, Chris. You're really choppy, but I think I caught your question. But for the 2026 growth, what I would say is we're still early days for plan 2026, and I'll provide more detail when we release our 2026 outlook. But from a high level, we do plan to continue to be successful winning customers and growing market share while delivering solid earnings growth in this environment.
Operator: The next question will be from the line of Chris Murray with ATB Capital Markets.
Chris Murray: Maybe talking a little bit about the wholesale business now that, I guess, the supply chain transformation is sort of behind us a little bit. Can you talk about where you're at in terms of that wholesale penetration number? And how we should maybe think about the next couple of years now that you've got the supply chain base really in place?
Greg Ramier: Thanks, Chris. It's Greg. The -- so we continue to see good performance from a revenue perspective with outpacing system-wide sales. That's really driven by two primary factors. One is the clear opportunity we have had and still have in Chico as we grow that business and we -- from a store perspective and grow our wholesale penetration there, and with the capacity that we have in the supply chain. So we continue to add both innovation and new assortment into the distribution center that will -- that's going to continue to -- because we have lots of capacity that we're leveraging right now. That will continue to be a tailwind for us over the next several years.
Chris Murray: Is it fair to think that your wholesale sales might actually kind of outstrip kind of like what you would think the same-store number will be over the next couple of years just as you capture additional share? Is that the right way to think about this going forward?
Greg Ramier: Yes. The way you should think about our -- shape of our sales over the next few years is our system-wide sales should outpace our same-store sales because of our continued focus on new store growth and that our revenue should outpace our system-wide sales because of the wholesale penetration opportunity we have with Pet Valu franchisees and especially because of the opportunity in Quebec with Chico.
Linda Drysdale: And the pace of that will ease from the current...
Chris Murray: Okay. And then just maybe a quick one for me. Just sort of thinking kind of into '26 in capital spending. I know it's still early, but if you think about it semantically, no major investments in supply chain. Maybe some store level investments you talked a little bit about the ability to continue to roll out fresh product. But kind of on the whole, is there any reason to believe that there's anything that would be taking capital spending actually up materially from where it is going to end up this year? Or should we be thinking about kind of like just gradually tying it to sales growth over the next little while?
Linda Drysdale: Yes. So we're still working through capital plans for 2026, Chris. But I'd say the expenditures will be in the ballpark of what we've targeted for this year would be a good starting point. We're continuing opening new stores, as you said, rolling out our enhanced culinary experience across both corporate and franchise stores. So you can also expect us to start to return to share repurchase in the next year. I'll add that in with respect to our capital.
Chris Murray: Okay. But there's no major capital expenditures planned or anything like that, that we should be aware of?
Linda Drysdale: No.
Operator: The next question is from the line of Vishal Shreedhar with National Bank of Canada.
Vishal Shreedhar: With respect to industry square footage growth, do you have -- or industry capacity growth, do you have an estimate of that? Is it growing at an accelerated pace? Or has it moderated in line with these more challenging conditions you've seen over the last couple of years?
Greg Ramier: Vishal, what we saw in Q3 was quite similar to what we've seen so far this year. We are the lion's share of industry footage growth. We are fully on track to be at our 40 stores again this year. We've seen slow or muted growth from other competitors. So that is an area, as Linda said, that we are leaning into right now to make sure that we get growth now and growth in the future and find the best sites to be in over the long term.
Vishal Shreedhar: Greg, as you continue to expand and right now, you operate at a premium end of the market. But as you continue to expand, you start bumping up against a customer who's more value conscious or who values other attributes that maybe Pet Valu doesn't focus on as much. Wondering your perspective on this, the expansion and your premium tier, I mean, there's only so many customers that value those attributes.
Greg Ramier: Our store decision-making isn't just about the here and now. When we open a store, whether it's corporate or franchise, we're making a 10-year commitment. And that 10-year commitment includes or encompasses all the phases of an economic cycle. So that's how we look at it when we are making the decision about opening a store. As you've heard us share in the past, we believe that there's a clear opportunity for us to operate over 1,200 stores across Canada. We do lots of modeling around that, both on the location and the customer base. We see a large portion of devoted pet lovers within those locations that will allow us to be successful with our model. We're only roughly 2/3 of the way along that path of 1,200 stores. I'd love the pace of us with 40 stores a year. It's a nice manageable size, but still provides really good growth trajectory for us. And we continue to see strong returns, both corporate and franchise returns with the new stores that we're opening.
Vishal Shreedhar: Okay. And with respect to the environment which you anticipate and granted, I know there's substantial uncertainty regarding the outlook, but you anticipate it to be more challenging, at least relative to historical trends. Do you feel -- and you've come in and you've implemented the pricing initiatives and more analytical promo decisions. Do you feel that pricing at Pet Valu is sufficient? Or do you think the gap versus peers could still use some adjustment?
Greg Ramier: It's a good question, Vishal. I'll come back to our strengths, which are convenience, value, quality and expertise. We've made some changes in our value program this year, starting about this time last year to have a sharper promotional plan and to have better everyday value across especially our brands, but now some key value items in national brands. That has allowed us to gain share consistently. We are -- as we talked about, we're winning the monthly shop. We're growing same-store transactions. We have stable margins at the same time because we've done a lot of good work under the -- under all of that. So I like where we are right now. I think it sets us up to be very successful next year during what we expect to be a similar environment to this year.
Operator: [Operator Instructions] And our next question will be from the line of Adrienne Yih with Barclays.
Adrienne Yih-Tennant: Great to see the progress. Craig, I wanted to ask a couple of things on pricing. So the brands have obviously raised prices sort of year-to-date this year. How much pricing have they taken? And has the spread between the brands and your private label expanded? And what do you expect in terms of future pricing as we go into 2026? And then for Linda, you talked about the EPS growth kind of accelerating in the fourth quarter and then into next year. Is that largely because you're starting to anniversary the fixed costs and the incremental depreciation from the investments?
Greg Ramier: Adrienne, so I'll -- there's a couple of questions within that. I'll maybe start with the inflation question and then go to brands and then get Linda to ask or to answer the last part. There wasn't -- we had inflation in Q3. It was a bit less than what we've seen in previous quarters, but it's still positive. And this is really a result of the intentional actions that we've taken to make sure that we have the right everyday value. That would be earlier or this time last year that we're still lapping the Fresh 4 Life and the litter reductions that we did, the value that we did in Prime at the end of Q2, and then just now at the end of Q3 with the recent changes that we've done with the Lower to Lock program. So we've been focused on making sure that we have the right value and that we're competing to win that monthly shop. Within that, we've made sure that our proprietary brands are positioned to give the savings for devoted pet lovers. I'll remind everybody that they're 1/4 of our sales. They're an important part of our business. They give savings to customers, great quality and better margins for us. So it's a very helpful environment. So that's what we've really seen. We've done the work with making sure that we are focused on and building our brand sales and basket penetration has been a key focus for us this year.
Linda Drysdale: Yes. And on your question about the growth on the EPS, you nailed it, Adrienne. It's the returning -- as we annualize the investments in our supply chain, that's unlocked that, and we're really looking forward to that.
Adrienne Yih-Tennant: Okay. And then can you just -- as a follow-up, can you just remind us where you are in the journey of sort of increased productivity gains and capacity utilization? I remember earlier on, you had talked about and we are seeing it that it would start to really manifest in the back half of this year, but it was a multiyear journey. And so if we're just starting to see that, I can only imagine that there's more to come, so it's going to help us where we are here.
Greg Ramier: Adrienne, we're very early in this journey. So we've built capacity for 10-plus years. We will leverage that capacity through those 10 years. And we were pleased with starting to see some -- both leverage and productivity gains in Q3. That Q3 was a little stronger and a little better than what we had anticipated. We foresee a strong tailwind from both the leverage and the productivity opportunities that we've created with the supply chain investment.
Adrienne Yih-Tennant: Fantastic. Controlling what you can in an uncertain macro is the name of the game. So good luck.
Greg Ramier: Thank you.
Operator: The next question will be from the line of Mark Petrie with CIBC.
Mark Petrie: I think I heard a comment earlier about adding a bunch of national -- I think it was 150 SKUs of national brands in hard goods. And can you just confirm that? And could you just talk about that decision in the context of what you're highlighting with regards to the consumer and sort of the importance of value around private labels? And so what's the background there?
Greg Ramier: Mark, that is true. Our strategy in hardlines, and this is an area where we want to compete stronger next year is to make sure that we have the right innovation, both from our brands and from national brands. We've added some great specialty brands into the portfolio to close out the year that will help us in Q4 and to make sure that we have the right value in both led with our proprietary brands. We want a great balance between the innovation and value of both national brands -- the right national brands and our proprietary brand.
Mark Petrie: Okay. So is this more a substitution of what your national brand portfolio was before or -- and just sort of a refresh there? Or are you sort of shifting like -- maybe you went too far on the proprietary brands and now you're shifting some of the SKUs from own brands to back to national brands?
Greg Ramier: No, Mark. This is an effort to make sure that we have the right national brands with the right newness and the right innovation as we go into the holidays.
Operator: With no further questions on the line at this time, I will now hand the call back to Greg Ramier for some closing remarks.
Greg Ramier: Thank you, everybody, for joining us. Looking forward to speaking with you in March. I hope everybody has a great Q4 and a great holiday season. Thank you very much.
Operator: This concludes the Pet Valu Third Quarter 2025 Earnings Conference Call. Thank you to everyone who joined us today. You may now disconnect your lines.